Operator: Hello, and welcome to the PyroGenesis Second Quarter 2025 Business Update Conference Call. [Operator Instructions] It is now my pleasure to introduce Vice President of Corporate Affairs, Steve McCormick.
Steve McCormick: Thank you, operator, and good morning to everyone. I'm Steve McCormick, Vice President of Corporate Affairs for PyroGenesis. Thank you for joining PyroGenesis' 2025 second quarter financial results. and business update conference call. On the call with me today is Mr. Andre Mainella, the company's Chief Financial Officer. The company issued a press release on Wednesday, August 6, 2025, containing the financial results and a business update for the second quarter ended June 30, 2025, which can be viewed on the company's website at pyrogenesis.com. If you have any questions after the call or would like any additional information about the company, please e-mail the Investor Relations department, and we will try as best as possible to answer questions that are of a public nature. The e-mail address is ir@pyrogenesis.com. We will shortly provide prepared remarks reviewing the operational and financial results for the second quarter ended June 30, 2025. I'd like to remind everyone that this discussion may include forward-looking information that is based on certain assumptions and is subject to risks and uncertainties that could cause actual results to differ materially from historical results or from results anticipated by the forward-looking information. Forward-looking information provided in this call speaks only as of the date of this call and is based on the plans, beliefs, estimates, projections, expectations, opinions and assumptions of management as of today's date. There can be no assurance that forward- looking information will prove to be accurate, and you should not place undue reliance on forward-looking information. PyroGenesis disclaims any obligation to update this information or to explain any material difference between subsequent actual events and such forward-looking information, except as required by applicable law. In addition, during the course of this call, there may also be references to certain non-IFRS financial measures, including references to EBITDA, modified EBITDA and backlog, which do not have standardized meaning under IFRS and therefore, may not be comparable to similar measures presented by other companies. For more information about both forward-looking information and non-IFRS financial measures including a reconciliation of EBITDA and modified EBITDA, please refer to the company's management discussion and analysis, which, along with the financial statements, are available on the company's website at pyrogenesis.com and on the SEDAR website at sedarplus.ca. Also, a reminder that PyroGenesis follows Canadian generally accepted accounting principles or GAAP, where revenue is accrued not on sales but on a model that reflects a percentage of the work completed for a given contract during the period, which can vary based on both the nature of the projects in-house and on a client's own scheduling and logistical decisions both of which can impact production milestones and the company's ability to book revenue. During these recent years of supply chain, logistical and inflationary uncertainties, those issues have been more frequent and unpredictable. And as stated in previous reports, the company's revenues are likely to be irregular quarter-to-quarter as project-related revenue fluctuates based on the timing of new project starts and existing project phases and also due to those reasons just outlined. With that, we now turn to the business overview. I'll start off with a quick review of some of the company's top line results for the quarter, followed by a summary of some of the key business activities that occurred before turning the call over to our Chief Financial Officer, Andre Mainella. For revenues, for the second quarter of 2025, the company exited the quarter with revenues of $3 million. As stated in yesterday's news release, this is a decrease of 23.6% year-over-year, with the decrease primarily related to delayed project starts. This represents an example of what I stated in the opening remarks and why we specifically include the statement about revenue being a regular and unpredictable quarter-to-quarter based on a number of factors most often related to project start schedules or delayed or slower project phases. It can also be related to cash on hand and in this continuously fluctuating economic landscape, clients can face their own cash flow and scheduling challenges, which can have an effect on PyroGenesis' revenue. To gross margin. For the quarter, gross margin was 56%, a 27% increase -- or excuse me, a 27-point increase from the 29% margin for the same period 1 year ago for an improvement of 93% year-over-year. It is noted and Andre will extrapolate further later in the call that the Q2 margin benefited from some revenue items with limited expenses as can happen when projects are in initial scoping conceptualizing or planning phases. Even with excluding that particular set of revenue items, the margin for the quarter would remain above 42%, representing a successful margin quarter all around and in the company's target range for margins for any quarter. Historically, second quarter margins for the company are strong, averaging 41.4% over the past 8 years. As always, we like to provide further context for margins via comparison to some of the industries the company serves or supports. The metal mining industry is showing 37% margin for the quarter, industrial machinery and components is up 37.4%, aerospace and defense is at 17.7%, iron and steel is at 26.7% margin, and for the aluminum industry, second quarter margins are currently reporting at a low 12.1%. There's some interesting data surrounding the low aluminum industry number as tariffs, fluctuating energy costs and demand swings have contributed to higher price, input costs and higher regional premiums across the aluminum industry, especially in the U.S. As a result of the tariffs, a reorientation of the aluminum supply chain has been occurring with a large redirection of Canadian aluminum to European markets over the past few months being reported. Adding to the tightness in the U.S. market and contributing to this low margin period for producers and manufacturers along with closer ties and new supply arrangements being established among Canadian, European and Middle Eastern aluminum companies, there's renewed interest in investment and expansion for those regions, especially in downstream facilities such as casthouses. This potentially benefits PyroGenesis whose aluminum sector customer base is primarily within those regions and where casthouses houses have represented some of the company's initial projects for aluminum industry energy transition. The ongoing projects with Constellium and Norsk Hydro to test plasma and casthouse furnaces being the most prominent examples. Now on to backlog. PyroGenesis' project backlog stands at $51.1 million, showing continuing strength in the company's order book. For those that need clarity on backlog, backlog is defined as signed or awarded contracts. Backlog outlines future revenues for the company that will be added to the financial results over subsequent quarters as projects are started or project milestones are reached on a percentage of work completed basis. In management's opinion, a strong backlog helps to show the strength of the long-term outlook while also illustrating a wide variety of different types of contracts that the company can secure, what the company often refers to as its multi-legged stool identity. And of course, it shows the minimum future revenue for the company as these projects progress towards completion. And now to some key production highlights for the second quarter. Please note that projects or potential projects that were previously announced, but which do not appear in this summary update or within the management discussion and analysis or outlook should not be considered at risk noteworthy developments can occur at any time based on project stages and the information presented is a reflection of information on hand of some, but not all projects, projects not mentioned, may have simply not passed the milestones worthy of discussion or had their project status changed since the last reporting quarter. Starting with a brief reminder of the company's business strategy. The company leverages an expertise in ultra-high temperature processes to create a technology ecosystem for heavy industry. From early-stage pilot to full commercialization, our technology solution set is concentrated under 3 verticals that align with economic drivers that are key to heavy industry. First, the energy transition and emission reduction vertical, which utilizes the company's electric powered plasma torches and biogas upgrading technology to help heavy industry reduce their energy costs, their fossil fuel use and their emissions. There are no major developments during the quarter, but post quarter end, in July, the company announced that its subsidiary, Pyro Green-Gas Inc., that completed the previously announced $9.3 million coke oven gas valorization and hydrogen production projects for Tata Steel, one of the world's largest diversified steel producers. The project was to supply coke oven gas purification solutions and hydrogen production technology to extract hydrogen and other toxic gases from the blast furnace process, then separate clean and process the gases to render hydrogen to 99.999% purity level. The project was successfully completed and the systems developed by Pyro Green-Gas are now in continuous 24-hour a day operation at the Tata Steel facility in Kalinganagar India. The newly formed hydrogen produced by the system is being reused by other applications throughout the facility, improving production efficiency and environmental outcomes. To the waste remediation vertical, which provides technology for the safe destruction of hazardous materials and the recovery and valorization of underlying substances such as chemicals and minerals that can be resold or reused. Also post quarter end in July, the company announced it had signed a contract for approximately $600,000 with one of the world's largest integrated environmental service companies, expanding PyroGenesis relationship with its client to include developing a solution for the plastic waste problem in Europe. The client operates more than 100 waste treatment sites and facilities across Europe, and this announcement is the third project announced with this client. And finally, for commodity security and optimization, the vertical where the development of advanced material production techniques and the use of technology, such as plasma to recover viable material from industrial waste, helps to maximize our raw materials and improve the availability of critical minerals. During the quarter, the company had several announcements regarding the fumed silica reactor pilot plant. For those who are unfamiliar, fumed silica is one of the most widely used industrial materials and can be found in thousands of products from cosmetics, toothpaste, pet litter, powdered food, instant coffee, pharmaceuticals, adhesives, paints, sealants, you name it. It is often used in these products as a thickening anti-caking agent used to stabilize and improve the texture, consistency and flow of the end product. The fumed silica reactor or FSR, was designed by PyroGenesis to produce commercial-grade fumed silica from quartz in a single eco-friendly system, while eliminating the use of the harmful chemicals used in the conventional production method. The sequence of development in the second quarter helped move the FSR closer to commercialization. In May, it was announced that material was successfully produced and collected from the FSR's product recovery unit known as the baghouse, then sent to a third-party laboratory for analysis to confirm various technical assumptions. Subsequently in May, that analysis confirmed those assumptions that the material was in fact fumed silica and that any impurities observed were not only anticipated, but we're in a state that was expected and which could be removed. Also, the amount of fumed silica produced was also greater than anticipated. Later, it was announced that the company had received accelerated requests for fumed silica samples from multiple potential clients, and those samples were then shipped within 10 days to those clients. And in June, the company received notice from a leading global supplier of fumed silica that the material samples recently delivered to them successfully passed the client's test protocols. Moving forward, the FSR continues to undergo testing and modifications to improve both the system and the material produced. And finally, during the quarter, the company it had achieved approved supplier status with Boeing for its Ti64 coarse cut titanium metal powder, produced by PyroGenesis next-gen plasma atomization process with a particle size that is within the range of 53 to 150 microns. This particular powder has now been added to Boeing's qualified list of materials available for use in additive manufacturing by their parts makers and service centers. To read about these and other events and updates as well as ongoing projects not discussed on this call, please refer to the corresponding section of yesterday's news release or the management discussion and analysis, in particular, the outlook section of those documents. I'll be back at the end for some final thoughts. But at this point, I'd like to turn the call over to the company's Chief Financial Officer, Andre Mainella to discuss the financials in more detail. Andre?
Andre Mainella: Thank you, Steve, for the in-depth overview. And thank you to the participants for joining the call. Now let's turn our attention to PyroGenesis' financial performance for 2025 Q2 and year-to-date. As highlighted in the operational update, the company continues to execute its strategy across its 3 verticals. In this section, I'll provide additional detail regarding the financial performance for the period and provide insight into the revenue and expenses. For Q2 2025, PyroGenesis recorded revenue of $3 million, representing a decrease of $0.9 million compared with $3.9 million recorded in Q2 of 2024. The main product line responsible for this was tort-related sales, which decreased by $1.6 million. This was due to the completion and delivery of a torch system in 2024 and also to 2025 projects, which are still in their early stage. In the biogas upgrading product line, revenue was up $0.6 million as the company continues to advance the gas desulfurization projects. For year-to-date revenue, it closed at $6 million, down by $1.4 million versus 2024. And this varied for the same reason explained for the quarter. Furthermore, the decrease was also caused by current project statuses for the PUREVAP projects and for systems supplied to the U.S. Navy. This is expected to reverse as project stages advance with more momentum and greater revenue being recorded in the upcoming quarters. As of August 6, 2025, our backlog stands at $51.1 million and expect it to be recognized progressively over the next 3 years. And it's important to note that the majority of this backlog is in foreign currency. More specifically, 83% is in U.S. dollars. Despite the dip in revenue, we're pleased by the gross profit of $1.7 million or 56% for the quarter and $2.5 million or 41% for the year-to-date results. While there are many factors that affect margins, our results were favorably impacted by the sales mix and higher margin projects and also due to the projects being at stages where minimum costs are needed to be incurred. In addition, the company continues to emphasize its cost control efforts and improved sourcing to reduce the manufacturing costs. And now turning to operational expenses. Selling, general and administrative expenses totaled $3.6 million in Q2 2025 and $7.3 million for the 2025 year-to-date. It's important to note that 2024 quarterly and year-to-date results appear unusually low due to the reversal of the expected credit loss. This was due to accounts receivable that were provisioned for collection purposes, but these accounts were collected and hence the need to reverse these expenses. If you were to exclude the impact of the credit loss reversal, we see that the company's SG&A actually decreased by a net amount of $0.4 million in the quarter across various expense categories. The most important ones being professional fees, employee compensation and share-based expenses. Unfortunately, the impact of the Canadian to U.S. dollar rate caused an FX variation of $265,000. For year-to-date SG&A, we experienced the same anomaly with the comparative figures. But again, if we exclude the impact of the credit loss reversal, year-to-date SG&A expenses are actually down by $1.4 million. And once more, due to the rates of the Canadian to U.S. dollar, we experienced an FX variation of $0.5 million. We continue to execute our cost optimization across all categories improved sourcing. Headcount is reduced, and therefore, compensation is down $0.5 million year-over-year. Savings are also realized in share-based expenses, professional fees, insurance premium and finally, office in general. Cost management and operational improvements are driving progress in our financial performance. The net R&D expenses for Q2 2025 totaled $0.4 million. So it's a slight increase from a comparable $0.3 million in Q2 2024 and year-to-date closed at $0.7 million versus $0.5 million for 2024. These increases are due to additional materials and equipment used in development and testing activities. And this aids in the development of new technologies and brings improvements to our existing products. The company also continues to benefit from client-funded R&D projects, which qualify for shred tax credits, further supporting our investments in innovation. Next, let's look at the quarterly financial costs, which begins at a $275,000 amount before a favorable adjustment from the revaluation of the balance due on business combination, which are no longer milestone liabilities, giving a net financial income of $0.8 million for the quarter. The year-to-date financial expense also began at an expense of $563,000 and favorably affected by the same reevaluation of the business combination liability and resulting in a net financial income of $0.5 million. Aside from this item, financial expense was as expected, but varied mainly because of the convertible loan redeemed in the year, reduction of the convertible debenture and the issuance of a new secured loan in May 2025. The fair value adjustment of strategic investments resulted in an expense of approximately $1.4 million in the quarter and $2.1 million year-to-date. This was based on the decrease of the share price of HPQ common shares, which directly affects the value of the investment and the fair value of the warrants owned by PyroGenesis. The exercise price of the warrant is greater than the share price, and therefore, an unrealized loss has been recognized. Moving on to our comprehensive loss, which, as a result of the items discussed is a loss of $3.1 million for the current quarter and a loss of $7.5 million year-to-date. Overall, this is due to lower sales, which generated a higher gross margin but SG&A lacked the favorable impact of the credit loss reversal that occurred in 2024. As well, the 2024 period had a favorable gain of $1.2 million from a legal settlement. 2025 was also negatively impacted by the HPQ share price, but fortunately, the reversal of the business combination liability created a financial income. The EBITDA was a loss of $3.6 million for the 3-month period and a loss of $7.3 million year-to-date. The EBITDA does not include the change in fair value of the investment, which resulted in an expense of $1.4 million in the quarter and $2.1 million year-to-date. And finally, once we do adjust for the fair value of the investment and for the share-based compensation, we arrive at a modified EBITDA loss of $2.1 million for the quarter, and that equals $5.1 million loss year-to-date. Now this metric helps investors to better understand the financial performance of our operations while excluding elements outside of our control and other noncash items. This wraps up the financial review for Q2 2025. I'll now hand the call back over to Steve for some final comments. Thank you.
Steve McCormick: Thanks very much, Andre. As Peter Pascali, the company's President and CEO remarks in yesterday's news release, although the company achieved solid operational progress this quarter, the financial performance was affected by delayed project starts, leading to lower-than-expected revenues. Given that our revenue recognition based on the percent of complete method, is often influenced by customer time lines, we can remain focused on what we can control, driving continued cost optimizations to operate more efficiently, accelerating innovation to enhance the power and cost effectiveness of our plasma torches and gas cleaning and conversion technologies and expanding our global outreach to engage a broader range of customers across both the high and low end of the addressable market. Mr. Pascali and the Board of Directors expressed continued confidence in the company's strategic path. As Mr. Pascali also stated, in recent years, several global market leaders have signaled a clear intention to tackle decarbonization by exploring PyroGenesis' plasma technology as a high temperature heat source for industrial processes, this week's announcement of a plasma torch sale to Constellium, phase and reflects our growing momentum in the aluminum sector. We've long maintained that the energy transition movement will eventually extend into other hard-to-abate industries. The growing number of confirmed projects and active discussions within the steel, cement, plastics, glass and chemical industries, as highlighted in our outlook underscores this accelerating shift and supports the continued confidence for our company in the road ahead. Above all else, the company remains committed to driving shareholder value and continues to focus on innovating, improving efficiency growing its customer base and engaging with existing and potential new customers around the world on a variety of exciting new business opportunities. We look forward to providing you with additional updates in the very near future. And a reminder to e-mail any questions you may have about the company and its projects to our Investor Relations department at ir@pyrogenesis.com. Thank you again for joining us today, and good afternoon. Operator, please end the call.
Operator: Ladies and gentlemen, thank you for participating. This does conclude today's program, and you may now disconnect.